Executives: Gordon Clemons - Chairman and Chief Executive Officer Michael Combs - Chief Financial Officer
Operator: Thank you for standing by. Welcome to the CorVel Corporation quarterly earnings release webcast. During the course of this webcast, CorVel Corporation may make projections or other forward-looking statements regarding future events or the future financial performances of the company. CorVel wishes to caution you that these statements are only predictions and that actual event or results may differ materially. CorVel refers you to the documents the company files from time-to-time with the Securities and Exchange Commission, specifically the company’s last Form 10-K and 10-Q filed for the most recent fiscal year and quarter. These documents contain and identify important factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. I would now like to turn it over to Mr. Gordon Clemons.
Gordon Clemons: Thank you for joining us to review CorVel’s fiscal year 2017 and the March quarter. Revenues for fiscal 2017 were $519 million. Earnings per share were $1.51. The March quarter revenues were $133 million – well, $133.6 million, 4% over the revenue for the March 2016 quarter. Earnings per share for the quarter ended March 31, 2017 were $0.42, an increase of 23% over the same quarter of the prior year. This quarter saw the continuation of the recent improvements in our fundamentals. Uncertainties in healthcare continued to slow the adoption of some of our services in the general healthcare markets. We have worked throughout the year to improve our management of operations. While progress took longer than we initially expected, several key projects have found traction and will be helping us in the coming year. The last 3 years have seen extra costs due to legal expenses. Otherwise, our administrative expenses have been controlled within the levels we feel are appropriate. Our product development efforts have been focused upon key additions to our TPA and network solutions businesses. The additions to the Enterprise Comp servers are in areas that most impact claims outcomes. Later this year, we will also be introducing a unique and interactive tool for claims professionals within our carrier and TPA client. This product, which Michael Combs will discuss more later, is known as the Edge and meaningfully advances our service. The workers’ compensation markets for managed care and for claims management have been active since the election. Our Enterprise Comp line of full service claims management solutions has benefited from increasing brand recognition in the marketplace. The public entity accounts, which comprised the majority of our new wins in the early years of our entry to the TPA market, are now at a stage where these contracts must be re-bid. The active nature of the public sector allows for easier entry for new vendors such as CorVel was 10 years ago and yet the same characteristics causes some churn in a more mature book of these types of accounts. In contrast, private sector accounts are more difficult to land as the new entrant, but gradually build as a percentage of the book of the new vendor as these accounts tend to turnover less often. Mature TPA benefit that TPAs benefit from a foundation of older private accounts which also offer better margins. The regular health market in which CERIS competes continues to adjust to the ripple effects of the efforts to modify the Affordable Care Act legislation. Both the public and private sectors of that market are somewhat impacted by the repeal and replace initiatives underway. These forces have slowed CERIS’ growth the last couple of years. We expect developments in the broad health insurance markets to be slow going as participants attempt to assimilate potential changes to ACA. In the workers’ compensation market, states continue to legislate changes to their individual regulations as well. Technology is also having an increasing impact upon the design of services, a factor working in our favor. The volume of claims continues to decline slightly, but the cost of medical care and claims severity, have escalated. As I observed last quarter, we feel our long-term investments in both systems and provider networks position CorVel well to gain competitive advantages as change and the increased pace of change continues in healthcare. In the last couple of years, we reviewed the results of our Enterprise Comp total claims solution and derived from that review the highest priority projects for development. We have identified the areas in claims management where added effort produces the best result and have targeted releases scheduled throughout the coming year in those areas. Because we have built our continuum of service on one platform, we are better positioned than other competitors to create unique features derived from the real-time integration of the various specialty managed care services. During the last year, we placed increased emphasis on the claims management needs of our middle-market compensation carrier customers. Out of that effort has come the new interface for the claims professionals in that market segment. I will now turn the call over to Michael Combs to discuss our operating results and product development. Michael?
Michael Combs: Thank you, Gordon. Patient management includes third-party administration, TPA services and traditional case management. Revenue for the quarter was $73.6 million, an annual increase of 5%. Gross profit decreased 3% from the March quarter of 2016. TPA services continue their strong performance in the market. Our approach emphasizing immediate intervention, complete integration and continuous innovation is producing superior outcomes for our customers. Our pipeline of project enhancements for additional improvements to our systems is full. Case management revenues were flat during the quarter. We have been disappointed with the performance in this segment of the business. New leadership has been engaged to improve the results in this area and during the quarter, key performance indicators, KPIs, were introduced to facilitate better oversight of our patient management services. This is an aspect of the operations management where we believe we face opportunities to be more effective. As a smaller company, we didn’t install the kind of operation metrics, which today we see as necessary to meet our performance goals. Network solutions revenue, sold in the wholesale market, for the quarter was $60 million, up 5% from the same quarter of the prior year. Gross profits in the wholesale business, was up 10% year-over-year. The services in this segment have benefited by our investment in technology and remain a core strength of the company. We are expanding our pace of investment in network solutions. We are several years into a total rewrite of the supporting technology with plans to introduce compelling new features later this year. Our product development efforts had a productive quarter. The results for the customers of our enterprise comp claims service have been strong. We have analyzed the primary drivers of these results and are focusing particular product development efforts on two aspects of that service that can have the greatest effect on the outcome, claims intake and return-to-work, or RTW. Exciting projects are underway in each of these areas. With the return-to-work module, we have moved past the prototype phase discussed during the prior earnings release and we will be deploying the first version of the new functionality next quarter. The new interface will bring information from treating physicians to the plan for return-to-work in a more efficient and actionable format for the adjuster. In our wholesale managed care business, we are developing new interfaces for the insurer and TPA customers of CorVel. The interfaces will consolidate essential actionable information for these customer users, increasing their efficiency and effectiveness as well as the outcomes. Web service solutions allow us to exchange information with our business partners and customers near real-time. We launched our first web service several years ago. At this point, we have processed well over 1 million transactions using this technology. We continued to refine our implementation of web services and enhanced the integration capabilities that we support. In our CERIS business, development is focused upon expanding the scope of our services offered. The Symbio business franchise, which is comprised of our Scan One operations and treasury and fulfillment service unit in Milwaukee, Oregon, is involved in the launch of a full service accounts payable, managed automation product, broad areas of focus for us, about which I have spoken previously include improvements to our claim intake processes; a new return-to-work module; a new customer interface module that we have branded, the Edge; and expanded medical review edits for our network solutions service line. During the quarter, we also initiated a refresh of our datacenter technology. We installed flash memory storage which can handle larger workloads much more quickly. The upgrade ensures that we are able to continue delivering enterprise level application performance as the business grows and the technology that we use within our systems advances. Now I would like to cover a few additional statistics. The quarter ending cash balance was $29 million and our DSO that is days sales outstanding in receivables was 43 days, up a day from a year ago. 325,000 shares were repurchased in the quarter for $13 million. We have returned $420 million to shareholders in the last 20 years, repurchasing 34,600,000 shares. Shares outstanding at the end of the quarter were 18,930,000 and diluted EPS shares were 19,240,000 for the quarter. Shares outstanding were reduced 3% from last year. That concludes our remarks for today. Thank you for joining us. I’ll now turn the call over to our operator.
Operator: This concludes today’s webcast. You may disconnect your lines at this time.